Operator: Good afternoon. My name is Carah, and I will be your conference operator today. At this time, I would like to welcome everyone to the Cadence Design Systems first quarter 2009 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. (Operator Instructions). Thank you. I would now like to turn the call over to Jennifer Jordan, Corporate Vice President of Investor Relations for Cadence Design Systems. Please go ahead.
Jennifer Jordan: Thank you, Carah. Thank you and welcome to our conference call for the first quarter of 2009. The webcast of this call can be accessed through our website, www.cadence.com, and will be archived for one week. With me today are Lip-Bu Tan, President and CEO, and Kevin Palatnik, Senior Vice President and CFO, senior Vice President and CFO. Please note that today's discussion will contain forward-looking statements and that our actual results may differ materially from those expectations. For information on the factors that could cause the difference in our results, please refer to our Form 10-K for the period ended January 3, 2009, the company's future filings with the Securities and Exchange Commission, and the cautionary statements related to forward-looking statements in the earnings press release issued today. In addition to financial results prepared in accordance with generally accepted accounting principles or GAAP, we will also present certain non-GAAP financial measures today. Cadence management believes that in addition to using GAAP results in evaluating our business, it can be useful to measure results using non-GAAP financial measures. Investors and potential investors are encouraged to review the reconciliation of non-GAAP financial measures with their most direct comparable GAAP financial results, including those set forth in our press release of April 29, 2009 for the quarter ended April 4, 2009. A copy of this press release and the financial tables can be found in Investor Relations portion of our website at www.cadence.com. Lip-Bu?
Lip-Bu Tan: Good afternoon everyone. I am pleased to report that the Cadence deliver on our first quarter objectives. Revenue for the first quarter of 2009 met expectations. Non-GAAP net loss per share came in better than forecast and cash flow from operations met expectations. Customer continued to be impacted by the downturn in the global economy. Across the board, they are concerned with designing more productively with less risk and less cost. Accordingly, 2009 is a year for Cadence to focus on execution, improve our productivity, and invest in our core business. This means that we will continue to invest in technology and solutions that play into our strength, and continue to bring innovative advanced solutions to market complemented by robust support and services from the large semiconductor and system houses to the smallest start ups, customers rely on Cadence custom, verification, digital, and PCB design solutions. Virtuoso is the backbone for custom design flows in the electronic industry, and Incisive unique capabilities in enterprise verification lead the industry. As such, we are aggressively investing in verification and custom design to further advance our leadership. In verification, we continue to augment our solution to the combination of technology, methodology, and verification IP, specifically focused on automating, managing the verification process to reduce customers costs, and mitigate project risks. We have strong momentum in this area, because customers recognize the completeness and thoughtfulness of our approach as evidenced by 25 competitive wins in this first quarter. There are four reasons customers find our solution more robust than the competition. First, we offer the full span of technology to do verification from the block to the full-chip and system levels. This includes testbench simulation, formal verification, hardware accelerations, and circuit simulation, all integrated with a common user interface. Secondly, we systemically offer new capabilities that reduce risk, improve productivity, and lower costs of verification process. These new capabilities include extending the Open Verification Methodology, or OVM, to handle the multiple languages customers actually use when verifying a design. We also view the broadest portfolio of proven verification IP in the industry providing customers off-the-shelf access to verification IP they can trust, and curtailing their costly process of developing it ad hoc. Thirdly, we provide metric driven management environment for planning, tracking, and monitoring the result of these technologies so that customers can effectively manage their process through verification closure. Finally, we are constantly looking ahead and introducing technology to help solve the most demanding verification challenges. In system design and verification, the recently introduced Incisive Palladium Dynamic Power Analysis or DPA took home the EDN Innovation Award in system design for helping solve one of these challenges. Palladium DPA addressing critical power problems for customers enabling upfront power estimation. This is the first hardware/software co-design solution to analyze the impact of embedded software and software application on the chip power consumption. This allows designers to make early changes either to the software or to the design itself to avoid power issues which dramatically lower risk and speeds up design time by reducing iterations. This advance capability cause customers such as Sharp, AMD to choose the Incisive Palladium platform as part of Cadence low power solution. Cadence continues to extend its technology lead in custom design. Virtuoso is number one by far in custom design. Virtually, all analog/mixed signal custom memory RF design today is done with Virtuoso. All of the top 50 semiconductor companies use Virtuoso. Over 70% of these have purchased Virtuoso 6.1 licenses, and are in various stages of evaluating, using, or ramping Virtuoso 6.1 for their products. Consequently, usage of Virtuoso 6.1 at our top customers has nearly doubled compared to the year ago. These customers report seeing a 25% to 40% improvement in productivity. The new advance Space-Based Router in Virtuoso 6.1 is already being deployed in 32-nanometer product designs at a major North America processor company. Virtuoso 6.1 provides us a clear advantage as customers tell us that the recent introduced competitive offerings are no more capable than the technology Cadence brought to market years ago. Successful mixed signal and low power design requires a robust, advance digital design and SoC integration platform which Cadence has with the new Encounter Digital Implementation System. We are seeing good adoptions and proliferation rates with the number of new customers in Q1 both large and small. We also see increased proliferation within our major customers. For example, one such customer recently grew its license count from 100 to 450, and two others chose Encounter Digital Implementation System for design at 32-nanometers following extensive competitive benchmarking. Global Unichip SoC design foundry committed to provide the most advance and best price performance silicon solutions use the Encounter Digital Implementation System to design a 50 million gate high performance networking switch processor. Global Unichip was able to achieve full-chip design closure in one week as opposed to the one month. This is an important endorsement for our new digital solution as a proof point for the productivity gains customer can achieve using Cadence solutions. Related to improving productivity as I mentioned in my open remarks, non-GAAP earning result came in better than expected. We are continuously evaluating our organization to provide Cadence customers with the best technology solutions and service to enhance our execution. In conclusion, we have made good progress thus far and I am pleased with the first quarter results, particularly in this difficult economic environment. Cadence Design solutions are fundamental to our customer success. We continue to contribute to that success with innovative new solutions, such as Palladium DPA, Virtuoso 6.1, and the new Encounter Digital Implementation System. Customers are responding by adopting and ramping these solutions to production. We intend to build on this momentum and will strike to enhance our execution over the remaining of the year. Kevin?
Kevin Palatnik: Thanks Lip-Bu. Results for the company's key operating metrics for Q1 were total revenue of $206 million; non-GAAP operating margin of negative 18%, and operating cash flow of negative $7 million. In Q1 we recorded a GAAP loss per share of $0.25. On a non-GAAP basis, the loss was $0.10 per share. Total revenue for the first quarter was $206 million, product revenue was $87 million, maintenance revenue was $90 million, and services revenue was $29 million. Revenue mix by geography for Q1 was 42% the Americas, 24% for EMEA, 19% for Japan, and 15% for Asia. Over 85% of our orders booked in Q1 were ratable. Weighted average contract life was slightly below the guided range of three to four years. This was lower than recent experience due to the impact of the current economic climate and customers' visibility. Total costs and expenses on a non-GAAP basis for Q1 were $242 million, a decrease of 14% from Q1 of 2008. Non-GAAP operating margin for Q1 was negative 18%. Quarter end headcount was approximately 4,600. This reflects a decrease in headcount of approximately 300 from the close of Q4 '08, and a decrease of 600 from Q3 '08. The reductions announced in November are nearing completion. Operating cash flow was negative $7 million. Total DSOs for Q1 decreased to 152 days from 182 days in Q4 as a result of lower receivables balances, and less than 1% of receivables were over 90 days past due. Capital expenditures for Q1 totaled $15 million. This included $5 million of remaining payments for our new engineering building in San Jose which is now complete. Cash and cash equivalents were $554 million at quarter end. Now, I will turn to our outlook for Q2 '09 and full year 2009. For Q2 2009, we expect revenue to be in the range of $205 million to $215 million. Q2 non-GAAP operating margin is expected to be in the range of negative 14% to negative 12%. GAAP EPS for the second quarter is expected to be in the range of a loss of $0.24 to a loss of $0.22 and non-GAAP EPS in the range of a loss of $0.09 to $0.07. Operating cash flow for Q2 is expected to be in the range of negative $25 million to negative $20 million including severance payments of approximately $10 million. For the full year 2009, we expect revenue to be $830 million to $870 million. For 2009, we expect weighted average contract life to be in the range of three to four years. GAAP EPS for full year 2009 should be in the range of a loss of $0.89 to a loss of $0.77, and non-GAAP EPS in the range of a loss of $0.33 to a loss of $0.21. We expect non-GAAP operating margin to be in the range of a negative 12% to negative 10% on an annual basis for 2009. Non-GAAP other income and expense for 2009 is expected to be in the range of negative $2 million to zero. Operating cash flow is expected to be approximately breakeven for the full year of 2009 and our target for total DSOs at year-end 2009 is approximately 150 days. Capital expenditures for 2009 are expected to be in the range of $40 million to $50 million, a decrease of approximately $30 million from our historical spending levels. In summary, despite the uncertain environment, we are making progress towards positioning Cadence for the future. Our competitive and financial positions are sound, and we believe we are taking the necessary steps for them to improve going forward. We are making continual progress toward the 90/10 ratable mix, and are highly focused on execution and operating efficiency. Operator, we will now take questions.
Sterling Auty - JPMorgan: Yeah, thanks. Hi guys. With the shorter duration, can you talk about what discounting and pricing in this current environment looked like during the quarter?
Kevin Palatnik: Sure, Sterling. Let me go back to what I mentioned in prepared remarks. The average contract duration was slightly below our guided range of three to four years. That was a contributor to lighter than expected orders for Q1. Revenue and cash however were not impacted. Therefore, discounts and the like, we didn't see any material change from Q4. So, pricing is relatively holding up.
Sterling Auty - JPMorgan: Okay. Then is that also the same when you look at kind of renewals versus maybe any new opportunities now that I would expect any this year, but is that the same situation on both sides?
Kevin Palatnik: For the renewals that we do have this year, we have done a lot of work looking at what the prior contract was given or compared to the current level of renewal, both in terms of price, discount, duration, and so forth, and there has been no material change between the contract, let's say, three or four years ago to what was renewed in Q1.
Sterling Auty - JPMorgan: Then you mentioned the headcount at the end of the quarter and the changes what was done, but just for simplicity, what should we be thinking about as end of quarter headcount exiting the June quarter?
Kevin Palatnik: Exiting the June quarter, it will be around 4,576.
Sterling Auty - JPMorgan: Okay. Last question, I think could you did give us some color in terms of range on bookings given the environment and what we see? You are reiterating the revenue and such; do you want to update the booking guidance or are you going to wait until the end of the year and kind of give it to us then?
Kevin Palatnik: Sterling, Q1 is seasonally our weakest quarter. So, it is a single data point and it is hard to extract a trend from there. So, at this point, we don't have enough data to communicate anything more than we have.
Sterling Auty - JPMorgan: Okay. Thank you.
Operator: Your next question comes from the line of Rich Valera with Needham & Company.
Rich Valera - Needham & Company: Thank you. Good afternoon. Lip-Bu, sounds like you have got a chance to get out and see a lot of customers and I think really assess the strength of the Cadence product portfolio. I was just wondering if you could give us sort of your view of the competitive positioning of the company in the major product areas in sort of analog design and implementation, digital implementation maybe and then in digital verification?
Lip-Bu Tan: Rich, thank you so much for the questions. Last few months I have been very intensively working with a lot of CEO and senior management of our customer. Clearly, they really appreciate what we offer [in our] product portfolio. I think our position have not changed, and clearly analog very strong. They very much like to continue and our 6.1 adoptions and increase of usage have been very healthy. In terms of the verification, clearly, there is a lot of pain level from the customer point and that is where we are already the leader there. We continue to enhance our offerings and we are engaging quite heavily with some of the leading company in terms of this area, and I think we are going to continue our footprint on that. In terms of our digital, we have a lot of good offering. I mentioned earlier Encounter in the products, the new products and we get a lot of attraction and a lot of good engagement in the 32-nanometer process, and so I think the whole mixed signal offering have been very solid. Also our PCB, an area we are the leader and we continue to expand our offering, and I think by engaging quit heavily with our customer. So, overall, Rich, our product portfolio have been very solid and I think the customer appreciate that engaging heavily with us.
Rich Valera - Needham & Company: Great. Just specifically on the analog design side, obviously, there have been some competitive launches and it sounds like from your prepared remarks they you have yet to make significant inroads into our established accounts, anymore color on sort of the competitive environment in the analog design area?
Lip-Bu Tan: Yeah. As I mentioned in my prepared remarks, we clearly, we are very strong leader in this, and I mentioned in my remark the top 50 customers, they are solidly with us, and I think I mentioned earlier in our Virtuoso 6.1, the adoption more than doubled and clearly see the performance improvement 25% to 40% I mentioned. So, I think that part and with the competitive offering, and as I mentioned in my remarks is not capable than our offering years ago. So, I think, so far we have been very, very strong in our area.
Rich Valera - Needham & Company: Great. Sort of a bigger picture industry question; there is a lot of sort of rationalization and consolidation going on in the semiconductor industry, I mean the most recent example, the plan of NEC and Renaissance to get together, there you have got two large IDMs, one that sort of a primary Cadence house, and one that is a primary Synopsis house that are going to get together. How do you see the opportunities and risks associated with these types of deals? I don't know if you could specifically comment on that one, but how do you feel your position to sort of maintain your share as you move into that type of environment?
Lip-Bu Tan: Rich, that's a good question. I think consolidation definitely present a risk and opportunities for us, and I think we have clearly have very compelling products and service offering, and we are very proactively engaging in that situation NEC and Renaissance. We maintain very close relationship with both, and we continue working with them and engaging with them in their productive volume and so that we can provide the best tool and solution to enable them to be succeed in their combination of both companies.
Rich Valera - Needham & Company: Great, that is helpful. One final one if I could for you Kevin. Receivables, how do you feel about the quality of your receivables, not so much past 90 days, but the potential for write-offs given the sort of the rest among semi-customers in general? How do you feel about the quality of that portfolio right now?
Kevin Palatnik: Okay, Rich. I do have to start with just generally a comment about quality. Looking at 90 days past due, and it is always been for the last year or so less than 1%. So, we have customers that pay. Clearly in the last three to six months, the environment is such we put a lot of focus on our quarterly review of credit worthiness of our customers and in quarter in fact we did increase our reserves to protect our self going forward.
Rich Valera - Needham & Company: Okay. Thank you.
Operator: Your next question comes from the line of Raj Seth with Cowen & Company.
Raj Seth - Cowen & Company: Hi. Thanks very much. Kevin, first a quick one for you; can you talk a lilt bit about the plan on the long-term contract receivable balance that obviously came down? I am assuming that you are now able to sell some of those receivables at more attractive rates. Should we expect that to continue to come down aggressively or what is the expectation embedded in your sort of cash flow view?
Kevin Palatnik: Yeah. So, Raj, thanks for the question first off. The long-term receivables or the contract receivables will come down as we shift more to a ratable model. The ability to sale term agreements exists but not for subs wider subscriptions. In quarter, the reason it dropped so dramatically is some of the long-term deals we did in '06, '07 are falling off to the point where they are short term. That was the largest contributor to the sequential decline, but going forward, you will see that overall level of receivables, long-term contract receivables decrease.
Raj Seth - Cowen & Company: Okay. That helps. Sorry for my confusion. Lip-Bu, you talked a little bit about products. I am curious now that you have been there a quarter or two, how do you think about your channel structure and sizing? Do you believe you need to do anything there or do you think you have the right channel organized in the right way going forward?
Lip-Bu Tan: Yeah, Raj, good question. I think we continue evaluating our organization, our sales channel. So far I have been in front of the customer a lot, and I think overall, our engagement with the customer in terms of field organization channel and also our engineering engagement with the customer have been improving and I think we continue to expand on that. So, overall, I think we have the right channel and sales organization and we are going to continue evaluating and to optimize our performance.
Raj Seth - Cowen & Company: So, no anticipated material movers there on the short-term?
Lip-Bu Tan: No.
Raj Seth - Cowen & Company: Okay and one last if I might; you guys have talked about without a whole lot of precision about the operating margin and the 20% range as you exit 2011 and move into 2012. I am curious if you are managing to an operating margin target out there and if you found yourself on a glide path that wouldn't quite get you there, if you are committed to take our more costs in order to achieve that, sort of what is the primary financial metric a little bit longer term you are managing to? Thanks.
Kevin Palatnik: Yeah, thanks, Raj. So, as we have stated public ally prior in prior meetings, we are targeting 25% plus margins at the tail end of the transition to a 90/10. Our expectation is that take three to four years from when we moved last July to the 90/10. Again, the short answer is, yes, we are committed to that, and we continually monitor just the general macro environment and its impact on Cadence and we are committed to take the necessary actions to achieve that out in that timeframe.
Operator: Your next question comes from the line of KC Rajkumar with RBC Capital.
KC Rajkumar - RBC Capital Markets: Hi guys. Could you talk a little bit about why that the average contract life for Q1 was light slightly below your target? Was that because of a few customers cutting back on their contract lifespan or was it a sort of trend across all customers?
Kevin Palatnik: Yeah. Hi, KC. This is Kevin. So, it is a combination of things. Q1 as I said earlier seasonally our weakest quarter. Couple that with our own customers' lack of visible going forward that combines the smaller contracts if you will had a contract life that was less than the guided range, and overall weighted on a seasonally weak quarter, that weighted in drove the contract life of the quarter slightly below that 3 to 4 guided range.
KC Rajkumar - RBC Capital Markets: If the Q2 bookings would come back more in line with your original thought process?
Kevin Palatnik: We don't generally talk about quarterly bookings from a forecast standpoint, and it is too early to tell if the shorter durations in Q1 is a trend but it made by us our three to four year average life estimate somewhat lower in that range. Please recognize though that revenue and cash hasn't been impacted. There are others on the phone that have illustrated that if we do a three-year $30 million deal, or a two-year $20 million deal, the annual run rate of $10 million doesn't change. So, revenue and cash wouldn't be impacted by shorter durations.
KC Rajkumar - RBC Capital Markets: Okay. As you guys (inaudible) March quarter, did you guys find any loosening of EDA presence or do you find your customers as consisted at the very back in the quarter?
Lip-Bu Tan: KC, first of all I think from my experience, working with the customer, I think clearly they see the bottom and stabilize, and clearly the foundry and our utilizations is increasing, but they still don't have a lot of good visibility. I think the key question is going to be the second half, the Q4 Christmas season. So, with that I think they are very conservatively managing their budget and clearly they are managing their budget tightly, and so we don't see major changes but I think clearly we are going to be focus a lot more to help the customer to managing their design costs and also the risk that are involved.
KC Rajkumar - RBC Capital Markets: Following to another question, I suppose it is too r early to have an idea as to how calendar '10 looks like.
Kevin Palatnik: Yeah, I have gone on record KC to say that 2010 from a renewal standpoint is larger than 2009, but at this point it is too early to say more than that.
KC Rajkumar - RBC Capital Markets: And lastly, would it be possible to get a general sense for how does the OpEx profile trend for the rest of the year?
Kevin Palatnik: I am sorry. The OpEx trend…?
KC Rajkumar - RBC Capital Markets: How should we model OpEx for the rest of calendar '09?
Kevin Palatnik: Okay. So, on a non-GAAP basis, typically Q1 is our highest OpEx, just given that people have to pay their full FICA taxes and so on and so forth. Then as they progress through the year, some of the tax burden gets lessened. If I look at Q1 to Q4, I see about a 4% shift from Q1 ending to Q4 ending. So, you can plan it that way. As I mentioned earlier as well from an OpEx standpoint annually, we see a range between, I think, I said 13 and 11.
Operator: (Operator Instructions). Your next question comes from the line of Tim Fox with Deutsche Bank.
Tim Fox - Deutsche Bank: Hi. Thank you. Good afternoon. Just a quick follow-up Kevin on the OpEx question; so, G&A was up a bit more than we had modeled and up sequentially. Is that the FICA issues we are talking about and should that go down moving across the year?
Kevin Palatnik: Thanks, Tim. So, specific to Q1, in our G&A line, that is where we carry the increase in reserves and so that is expected to decrease in Q2. We put about $10 million worth of reserves on the books and given our November restructurings the benefit we saw in Q1 based on that it was about $4 million. So, net it is up $6 million sequential on a non-GAAP basis, but we should lose or see quarter-to-quarter going into Q2, we should see that decrease.
Tim Fox - Deutsche Bank: Got it. Okay, thanks. I guess just from a renewal perspective, has there been any change at all in the linearity in timing of the renewals? Are they coming in as you expected or are customers waiting through till the very last minute and how might that progress for the rest of the of the year?
Kevin Palatnik: Yeah. So, Tim, when we moved to the 90/10 model in last July, one of the comments we have made and we continue to make is we are willing to be patient. In this environment, where customers have a keen view on their own costs, they are waiting and we are being patient, and all of that was pretty well modeled in. So, our expectations first half to second half, second half seasonally is always larger than the first half and we expect that to continue.
Tim Fox - Deutsche Bank: Okay. Lastly for Lip-Bu; given that the economy seems to be softening more materially in Europe and other parts of the world, just wondering in your travel around, are you seeing any material change in the customer behavior from a geographic perspective and I think you provide some extra color there would be helpful.
Lip-Bu Tan: Sure. So, I think Tim first of all, I think the Asia Pacific side, I think the customer are more proactive. I think they are recovering faster in China, in Taiwan, in Korea, and I think Japan is still going through a difficult challenging and so they tend to be more conservative and more cost conscious in terms of their budget. Clearly, European also in a more conservative in their budget and then US, I think some of the customer are seeing trend up improving and more encouraging, but again, still managing their budget tightly.
Operator: Our final question will come from the line of Sterling Auty with JPMorgan.
Sterling Auty - JPMorgan: Yeah, thanks. Lip-Bu, kind of following on a little bit, as you are out there talking to customers, one of the things that we have a lot of discussions about is with the decline in headcount, how much of the decline in headcount is actually coming in engineering and design engineers versus other parts of the business? Any sense qualitatively from your travels and talks; is the R&D side on the headcount getting hit less, the same, or more in other areas within your customer base?
Lip-Bu Tan: Sterling, I think it is a good question. I think it is very difficult to generalize and so some of the customers are cutting back their R&D headcount, but in certain areas they are increasing because of the opportunity to identify and focus on. Clearly, we see a lot of more mixed signal application. I think it is a good growth area, and then some of the more complex development I think clearly the verification become a good opportunity for us. So, we are going dump down in some of those areas. I think, overall, I think the EDA too is so critical in the development, so I think on one hand they are reducing some of the R&D headcount, but in some areas they are increasing their budget because of new opportunity and some of the design they need to start to buy for the EDA solution to plan for developing the next generation products. So, I think there we have to generalize, but I think just that kind of picture that we paint.
Kevin Palatnik: Yeah, and Sterling if I could add, a couple of weeks back I went to a CFO roundtable for some Silicon Valley CFOs; very prominent companies in the valley and I asked a similar question as to in this downturn how do they manage that. I would say to a tee, many, many if not all of the CFOs said that their one priority was to protect R&D investment such that when the economy does turn around they have the right products and technology and so forth that they could capitalize on. In order, they set feet on the street that would probably take a trim, of course, infrastructure takes a trim but they really were trying to protect their R&D investment.
Sterling Auty - JPMorgan: Okay. Lip-Bu, given your long history looking at investing in semiconductor industry, what are the things that you are really kind of keeping an eye on that would suggest to you that people are excited about some of the inventory replenish that we are seeing now, but what are some of the signs that you are going to key on to say, "now, we are finally on much better footing and we should see relatively stable improvement from here in terms of the semi industry which is your primary end market?"
Lip-Bu Tan: Good question. Let me share a little bit from what I know traveling and visiting customer. Clearly, as I mentioned earlier, the foundries clearly see a pick up, clearly some of them is rush order because of inventory, and then some are new products and small sub stainable. So, I think it is very encouraging to see the major four foundries. They have nice pick up in terms of capacity, and for this one fine are looking for. Then secondly, some of the good company, actually back to Kevin's point, instead of cutting back the headcount in R&D, actually they are increasing reinvesting because in the down cycle when they come back they will be well positioned to take advantage of that. So, I think we see a couple of our customers are doing that. In terms of the area that we see opportunity as I mentioned earlier, chip I think very complex and more dense and the verification debugging, and validation become very challenging, usually a [pin cry] from the customers point of view. Clearly, there is a lot of application in the video related area. I think we see tremendous growth area, and also across the board, there is a lot of multi-core processor development for applications in broadcast and the secure network related and in the mobile infrastructure related. So, we see some really nice pick up in those areas.
Lip-Bu Tan: Welcome. With that, thank you everyone for calling in this afternoon. As I say, we make good progress thus far. Cadence continued to strengthen our relationship with customer to delivery of innovative solution on powerful new technology while we continue to improve our execution. We intend to work hard over the next few months to keep up the trend. In the next few weeks, Kevin will be out to meet investor, while I will be off to see many more customers and partners. We look forward to speaking with you soon, and thank you again for joining us.
Operator: Thank you for participating in today's Cadence Design Systems first quarter 2009 conference call. You may now disconnect.